Operator: Ladies and gentlemen, thank you for standing by and good evening. Thank you for joining Sohu’s Third Quarter 2011 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the management’s prepared remarks, there will be a question-and-answer session. Today’s conference call is being recorded. If you have any objections, you may disconnect at this time. I would now like to turn the conference over to your host for today’s conference call, Jenny Wu from Christensen. Please go ahead, madam.
Jenny Wu: Thank you, operator. Thank you for joining us today to discuss Sohu.com’s third quarter 2011 results. On the call today are Chairman and Chief Executive Officer, Dr. Charles Zhang; Co-President and Chief Operating Officer, Belinda Wang; Co-President and Chief Financial Officer, Carol Yu. Also with us from Changyou, our Chief Executive Officer, Tao Wang; President and Chief Operating Officer, Dewen Chen; and Chief Financial Officer, Alex Ho. As well as CEO of Sogou, Xiaochuan Wang; Vice President of Sohu and CEO of Sohu Video, Ye Deng. Before management begins their prepared remarks, I would like to remind you of the company’s Safe Harbor statement in connection with today’s conference call. Except for the historical information contained herein, the matters discussed in this conference call are forward-looking statements. These statements are based on current plans, estimates and projections, and therefore you should not place undue reliance on them. Forward-looking statements involve inherent risks and uncertainties. We caution you that a number of important factors could cause actual results to differ materially from those contained in any forward-looking statements. For more information about the potential risks and uncertainties, please refer to the company’s filings with the Securities and Exchange Commission, including its registration statement and most recent annual report on Form 10-K. Now, let me turn the call over to Dr. Charles Zhang, Chairman and CEO. Charles, please proceed.
Charles Zhang: Thank you. I’m pleased to report strong third quarter results with year-over-year revenue growth of 42% driven by solid performance of our online advertising and online gaming businesses. For online advertising, two of the fastest growing areas Sogou and Sohu Video continued to deliver exciting news. Sogou’s quarterly revenue grew 244% year-over-year, comfortably exceeding our prior guidance. Sohu Video for the first time in September posted number of visitors and total number of video viewed rose to the second place in China according to comp score. For online game, our online gaming subsidiary Changyou once again exceeded its top line and bottom line financial goals while making planned investments in marketing and promotion up to 1 year. Our flagship game, Tian Long Ba Bu or TLBB continued to expand player’s numbers with the release of new expansion pack. Duke of Mountain Deer or DMD appears to hard core game players with these new technologies and advanced cross server game play. Now let me start with some quarterly highlights. Total revenues were US$233 million in the third quarter up 42% a year-over-year and 17% quarter-over-quarter. Gross trend add revenues before tax were $84 million. Net brand advertising revenues were US$77 million, up by 30% year-over-year and 13% quarter-over-quarter, at the high-end of our guidance. Sogou’s revenue were US$18.4 million, exceeding our guidance of US$16 million. This was up 244% year-over-year and 35% quarter-over-quarter. Online games revenues reached US$116 million, up 35% year-over-year and 14% quarter-over-quarter. Non-GAAP diluted EPS were $1.26 compared with $1.16 in the third quarter of 2010, and were also ahead of our expectations. Let me first discuss Sogou business in more detail. During the third quarter, Sogou continued to deliver strong top-line growth driven by continued solid traffic growth and improved monetization. Revenue more than tripled that of last year to reach US$18.4 million. Of this, search revenue was US$15.3 million and advertising revenue from home page was US$3.1 million, the latter representing an 89% increase from the second quarter. For the third quarter, the number of customers for search increased 18% sequentially and 73% annually. In terms of search traffic, during the third quarter, Sogou Search further narrowed the gap with the number two player, as our daily page views increased by about 12% quarter-over-quarter. We are highly optimistic about Sogou’s prospects. China’s online search market proves to be resilient to possible macroeconomic slowdown and Sogou with its highly motivated and innovative management team showed strong momentum to outpace industry growth. Our three core products Pinyin, Browser and Search have consistently gained popularity among Internet users. Now moving on to our online video businesses. In this third quarter, as a result of offering compelling new content and effective promotion efforts, we were able to further broaden the audience reach rapidly. According to com score, in September 2011, the monthly unique visitors and the number of video viewed or released onto the video site increased by 49% and 33% from June respectively. Advertising revenue for Sohu Video increased about 110% compared with the same period of 2010. Starting with Ching Princess launched in July 2011, we have ramped our strategies to promote newly released TV series with a combined strength of online promotion as well as newly in place integrated off-line activities. We are pleased to see a much faster ramp up in DV accumulation than before. I would like to update you with our progress in professional content acquisition. We started purchasing content a few months ago for 2012 or even 2013. By the end of September, we’ve built a strong pipeline of TV dramas with exclusive rights and these TV dramas are seen by the market as strong candidates to become the most popular shows for the next year. Our solid track record in content selection and our integrated marketing strategies will guarantee a high success rate. In addition, the early move in content acquisition combining with our close relationship with content producers our costs for these premium contents are at a meaningful discount to those of our competitors. Especially when compared with some recent record high prices as widely reported on Chinese Media. As we said in our – on our conference call, Sohu Video is now at liberty to evaluate alternatives of the use of content. We can consider a sub licensing to other industry players of our choice. In return for cash or for barter of other highly thought after content. For example with Qing Princess, we managed to barter with other players or number of top launched TV serials including very popular startling step-by-step and (inaudible) the hottest drama now a days and other dramas scheduled to broadcast in 2012. In our library, Sohu Video offers not only premium domestic content, but also a series of premium American TV dramas including the recently para nova, new seasons of the Big Bang Theory, Gossip Girl and Nikita. All on our exclusive business. Lastly, I’m excited to report a partnership with MSN China to exclusively build an online video platform for MSN China. Domain name MSN.TV.Sohu.com. Sohu video will operate this online video platform. The relationship will enable us to obtain direct access to millions of MSN China users, many of whom are well educated white color worker with relatively high disposable income and hence help boost Sohu video’s traffic immediately. We now like to discover online gaming businesses. Our core product TLBB is going into its fifth year and continue to grow. On October 20, we rereleased TLBB 3, a major expansion pack that content significant upgrades. After its release both the number of TLBB players and number of playing accounts increased. We would also like to mention that there are no material science of cannibalization from the new game Duke of Mount Deer to TLBB. For DMD, Duke of Mount Deer, when we built this game, we intended to create a user experience that would draw interest from a broader – broad audience including casual and advanced players, that determine or share number of new features and variety of a game play, the seamless cross server connectivity and the 3D graphics. We ended up with a high quality game that was uniquely popular among the more hardcore gamers, but rather difficult for casual gamers to pick up quickly. In the coming December, we plan to release another expansion pack to further enhance in-game experience and attract more users. For Web-based games, 7Road DDTank has been performing well and remains as one of the top Web-based games across China. Meanwhile, in space of overseas players, it’s growing and the game is particularly strong in Malaysia and Vietnam where it ranks first and second respectively. Finally, let me talk about our game pipeline. For MMO games, in the coming fourth quarter, we plan to launch – and in 2012, we plan to launch another four games including Battlefield Online – and two others. For Web-based games, 7Road is currently developing a new game with a target launch date – launch date, 2012. Now, I’d like to turn the call over to our Co-President and Chief Operating Officer, Belinda Wang, who will update you on the brand advertising business. Belinda?
Belinda Wang: Thank you, Charles. Third quarter revenue for brand advertising business reached a new high, as we continued benefit from solid demands from the advertisers. Net brand ad revenues for the third quarter were US$77 million, up 30% year-over-year and a gross brand ad revenues before business tax were US$84 million. As Charles mentioned earlier, online video continue to be one of our fastest growing segments is about 110% growth in revenues and nearly 50% increase in the number of advertisers on a year-over-year basis. Looking forward, for the fourth quarter of the 2011 we expect gross brand advertising revenue before business tax to be between US$84 million and US$86 million translating into net brand advertising revenue of between US$77 million and US$79 million, this would represent a year-over-year increase of between 28% and 32%. Now, I will turn the call over to our Co-president and CFO Carol Yu, who will walk you through the quarter’s financials. Carol?
Carol Yu: Thank you, Belinda, hello everyone. I will now take you through our financials for the third quarter. One, revenues; total revenues were $233 million, up 42% year-over-year and 17% quarter-over-quarter. This was a new record and came in ahead of our expectations. Total online advertising revenues, which include revenues from brand advertising and Sogou business were $95 million, up 47% year-over-year and 17% quarter-over-quarter. Brand advertising revenues were at the high-end of our expectations at $77 million, up 30% year-over-year and 13% quarter-over-quarter. The increases were mainly due to strong advertising demand from various sectors and increased revenues from across the board which Sohu build a larger sales network in 2011. Sogou revenues were $18.4 million up 224% year-over-year and 35% quarter-over-quarter. The increases were mainly due to increased search traffic and improved monetization. Online game revenues were at US$116 million, up 35% year-over-year and 14% quarter-over-quarter. Wireless revenues were US$14.2 million, a year-over-year increase of 5% and quarter-over-quarter increase of 22%. Now let me provide some more details about our financials. From now on, most of the figures discussed will be non-GAAP. The impact of share-based awards include share-based compensation expense and its related non-cash income tax expense were charged to the quarter’s gross profit, operating profit and income tax expense. For the third quarter the total share-based compensation expense was US$4.4 million. We believe excluding the impact of share-based compensation awards from our non-GAAP financial measures and net income makes a more meaningful comparison of Sohu’s operational results and improve investor’s understandings of our performance. So we will use non-GAAP measures in this discussion to explain margin, cost and expense items. Two, gross margins. Non-GAAP gross margin in the third quarter was 71% compared with 74% in the previous quarter in the same period last year. Brand advertising non-GAAP gross margin in the third quarter was 59%, compared with 63% in the previous quarter and 62% in the same period last year. In the third quarter of 2011, we charged amortization – we changed amortization method of certain video content to better match and reflect viewership accumulation pattern. In Q3 we noted changes of the pattern of the benefits derived from the same licensed – from sublicensed video content as it reflects by the accumulative viewership pattern. As a result the amortization of cost of such video content was accelerated. If the company has continued amortizing the video content cost using the old method, about $2 million less cost would have been recorded in the third quarter of 2011. The change was considered a change in accounting estimate effective in the third quarter of 2011, and therefore was applied prospectively. Sogou non-GAAP gross margin in the third quarter was 59% up from 55% in the previous quarter and 32% in the same period last year. The raise was primarily due to improved monetization as revenue growth outpaced the growth in total cost. Online games non-GAAP gross margin was 87% for the third quarter, compared with 90% last quarter in the same period last year. Wireless non-GAAP gross margin for the third quarter was 39%, compared with 39% in the previous quarter and 46% in the same period last year. Three operating expenses, non-GAAP operating expenses for the third quarter of 2011 totaled $88 million, which were an increase of 21% from the previous quarter and an increase of 76% from the same period last year. The increases in operating expenses were mainly due to increases in total headcount and the higher expenses associated with marketing and promotional activities in the third quarter of 2011. Four, operating margin, non-GAAP operating margin were 33% down from 37% last quarter and 44% from the same period last year. Five income tax expense. For the third quarter GAAP income tax expense was US$14.4 million excluding a non-cash income tax expense from $0.3 million recorded for tax benefits from the share based awards. Non-GAAP income tax expense was US$14.1 million compared with US$9.3 million in the previous quarter. Six net income, before deducting the share of net income pertaining to non-controlling interest, non-GAAP net income was US$69 million. Non-GAAP net income attributable to Sohu.com Inc. was US$49 million or US$1.26 per fully diluted share, which was ahead of our expectations. Seven non-GAAP net margin. Before deducting the share of net income pertaining to the non-controlling interest was 30% compared with 34% last quarter and 37% in the same period of last year. Eight moving on to the balance sheet and cash flow statement. For the third quarter, we generated close to US$100 million in operating cash flow, of which Changyou generated US$74 million while other business units generated US$26 million respectively. As of September 30 our cash balance stood at US$707 million. Brand advertising DSO for the third quarter was 64 days compared with 64 days in the previous quarter and 73 days in the third quarter of 2010. Nine, stock purchase program. On August 29, 2011 Sohu’s Board of Directors authorized a combined share purchase program of up to $100 million. As of September 30 Sohu have repurchased 250,000 shares – Sohu’s ordinary shares and purchased 750,000 Chanyou’s ADS at an aggregated cost of approximately $42.3 million under the said shared purchase program. Ten, our outlook for the fourth quarter of 2011 is as follows. We expect total revenues to be between $241 million and $246 million. Brand advertising revenues to be between $77 million and $79 million. This implies a sequential increase of 1% to 3% and 28% to 32% year-over-year. Sogou revenues to be around $21 million. This implies sequential growth of about 14% and annual growth of about 218%. Total revenues from Changyou to be between $122 million to $125 million including online games revenues of US$119 million to US$122 million. Before deducting the share of non-GAAP net income pertaining to the non-controlling interest, non-GAAP net income to be between US$70.5 million, and US$73.5 million. Non-GAAP net income attributable to the Sohu.com Inc., to be between US$50.5 million and US$52.5 million and non-GAAP fully diluted earnings per share to be between US$1.30 and US$1.35. Assuming no new grants of share-based awards we estimate that compensation expense and income tax expense related to share-based awards to be of between US$4 million to US$4.5 million. The estimated impact of this expense is expected to reduce Sohu’s fully diluted earnings per share for the fourth quarter on the U.S. GAAP by US$0.10 to US$0.12. In conclusion, we are pleased to see our investment in news business especially Sogou and Sohu video paid has paid off. Sohu’s strong balance sheet and ample cash balances enables to further – enable us to further grow and develop these businesses. This concludes our prepared remarks. Thank you for joining the call today. Operator, we would now like to open the call to questions.
Operator: Thank you. (Operator Instructions) Your first question comes from Eddie Leong from Merrill Lynch. Please ask your question.
Eddie Leong – Merrill Lynch: Good evening, everyone. I have two questions, the first one is about your Sogou business, could you comment on people’s concerned on the SME segment, especially Peugeot I guess you’re also concerned about whether some of the smaller e-commerce companies our facing some headwinds. And then my second question is on your video business, as you mentioned…
Charles Zhang: Maybe we would do the questions one by one. So the first your question is how do we see the market’s concern about potential deceleration of businesses form SME, right?
Eddie Leong – Merrill Lynch: Yes.
Carol Yu: So the fact is that market share profits, so it’s not affecting our search businesses.
Charles Zhang: We don’t see any slowdown in that respect, we’re still – because of the increasing in our search traffic we’re still seeing a nice growth in terms of both numbers of advertisers as well as the ARPU.
Eddie Leong – Merrill Lynch: Understood. And then my second question is on the video – cost you mentioned in the quarter, you guys started to negotiate for 2012 and 2013 video (inaudible) could you like share more color of those on the inflation of our video content? Thanks.
Carol Yu: So the price already reached kind of ceiling and level off, so …
Eddie Leong – Merrill Lynch: Thank you.
Charles Zhang: Just becoming more competitive so that we have really quality – entering 2011, the competition because of – getting into this motion picture. So the competition list comes presented and then really now, keep on looking at the quality of the – the key based area, so not all shows can sell that kind of price.
Eddie Leong – Merrill Lynch: Got that. Thank you.
Operator: Your next question comes from Wallace Cheung from Credit Suisse. Please ask your question.
Wallace Cheung – Credit Suisse: Hi, thanks for taking my questions. I think first question is on the quarter basis, as management saying the factors actually have been helping to grow the business where as we’re seeing relatively soft property sales in the physical market side. Has the management have done any kind of like – sort of expansion or self-network or what more creative kind of approach do you – because I do – actually advertising business. As such, you’re growing the business better than the –maybe the strategic division. On the other questions on the online video front, as we’re seeing the content cost is actually has been increasing quite substantially, will management try to produce more internal content, in-house developed content in particular hiring more people to do that help business, especially reduce the content cost going forward? Thank you.
Carol Yu: Yeah, regarding your first question, I think as you’ve said the macro – as the economy slowed down, but especially impacted by the related industry regulations and clarity. But I think in terms of the Sogou workers, we’ve been expanding our regional local websites in these two years. We actually, we expanded over 15 local focused across the country. So even if the macro – the actual situation is not so good, we still feel fine with the steady revenue growth on the Sogou focused revenue line.
Belinda Wang: While the content production side, I think, yes, we do get into in-house for a self-produced content, but in the area of key materials, dramas, we’re selectively working with some outside directors, producers to co-produce some video TV serials like that one of the (Summer Sweetie) is one of the success example of our co-production. For in house developed, fully developed by Sohu, we’re producing some documentaries and talk shows and interviews as leveraging the interviews and these kind of short clips and the news and documentary products. It is cost – cost wide, it’s very good, it’s low cost. But I think, our long clip video still – we needed to still need buy them from by the best content from the market, but by doing some better deals and partners we can effectively manage the cost overall cost.
Wallace Cheung – Credit Suisse: Thank you for the chart in the detailed.
Carol Yu: (Inaudible) actually, it was very expensive, but by doing some better deals and exchange for some other content actually the cost is significantly brought down.
Wallace Cheung – Credit Suisse: Hi. Thank you for a chart comment. And just a quick follow-up on Charles comment is, as we’re seeing like you’ll have more diverse kind of content development acquisitions, but would you also think about the sort of seeking for some content partnership sharing with some other players as you’re seeing some of your industry peers have already formed some joint venture? Thank you.
Charles Zhang: Yeah, we are – we are yeah – we keep our mind open, and look at those opportunities, but as cut in productions in China is more project based. It depend on some companies that they produce the big show, and then the next show is that – show with the heads and then there is a follow up I mean bad, not so good ones. So, its sometime we bet more on show or each of that production rather than investing in to the company itself, but we definitely keeps our mind open.
Wallace Cheung – Credit Suisse: Thank you very much.
Operator: Your next question comes from Alicia Yap from Barclays Capital. Please ask your question.
Alicia Yap – Barclays Capital: Thank you, good evening everyone. My question is that I was hoping that if you could share reverse what is your view on the overall competitive landscape in the online video space? When do you think that the industry will start to consolidate, and we’ll the beating on the content cost be more rational overtime, if so, when do you expect that to happen?
Carol Yu: Alicia maybe I’ll take up those questions.
Alicia Yap – Barclays Capital: Okay.
Carol Yu: Our view is that we do not think consolidation will happen very quickly, as we see across tinier entrepreneurs they have their own ego. So, it’s very, very difficult, we only see M&A activities as an exception rather than an industry trend. So, we believe that will be the case as well for the video industry. Going to your question as to the content prices as to when we’ll bring back some synergy back into the equation. I believe that will come soon and as Charles and Deng mentioned earlier, we believe that content prices should top out pretty soon. As we – as Charles explained in his script, everybody is getting some share of the exclusive content. We start to see bartering going on between all these industry players. So at the end of the day, if we see a lot of this bartering going on, which we are, there’s not much point in paying sky high prices in order to get all these content in the long-run basis. So we do expect that this extreme cost escalation trend will be dying out soon.
Alicia Yap – Barclays Capital: I see. Thank you so much for that. Can I just follow up on your ancillary that…
Carol Yu: One follow-up. No problem not an issue. Go ahead.
Alicia Yap – Barclays Capital: And so how should we expect the gross margin line for the advertising be trending in the next few quarters?
Carol Yu: Overall advertising margin?
Alicia Yap – Barclays Capital: Yeah. Because of the amortization accelerator, so how should we expect the gross margin for the advertising line to be trending in the next few quarters?
Carol Yu: Again to start with because of the change in our amortization method, we may not be able to ramp up revenue as quick as we changed the accounting method. So we do expect that we will be seeing some margin erosion over the next two, three quarters, but as the new policy come in place and become – and stabilizes, and as content calls becomes more rational. And as we moved into the tail of this cost acceleration trend we will – and as we grow revenue further, I think we will see some bounce back in margins on the longer run basis.
Alicia Yap – Barclays Capital: Okay, great. Thank you so much.
Operator: Your next question now comes from Zhao Ming from SIJ. Please ask your question.
Zhao Ming – SIJ: Thank you. Good evening. Two questions; let me ask first question, Belinda, can you comment on different verticals in the advertising category. I think you just commented on the Real Estate segment, how about categories like Auto, Online Gaming, FMCG and also e-Commerce/Group Buying. That’s my first question.
Belinda Wang: Okay. I think Lee has said that steady revenue growth for Auto, and Online Gaming in Q2 and Q3, and we’ll still see the trend in Q4. Also at the same time we see the fast growing cultivate by FMCG driving by the online video content and online video influence, also a heavy investment from the e-Commerce company.
Zhao Ming – SIJ: Okay. Thanks for that. My second question is about the other revenue on your top-line. I’m understanding that that has a significant portion of the content resale, should we interpret this as a quarter-by-quarter situation not recurring or depending on the efforts in that particular quarter?
Carol Yu: If you look at it on for the – for Q3 and Q4, because we’ve licensed out the Qing Princess over these two quarters. So you would see revenue coming in for both of these quarters. So you’re right. These are at least to start it off, it would be more like accidental revenue, while we only have one or two of these premier content for sub-licensing, but as we build up more pipeline over the course of next year, it will become more of a regular revenue.
Zhao Ming – SIJ: Okay. If I may, let me quickly ask you what’s your Olympics strategy for next year? Thank you.
Charles Zhang: This is your third question Ming.
Zhao Ming – SIJ: Oh, yeah, sorry. I – happened to ask third question.
Charles Zhang: Well. We all have good reporting team sending to London to report. We think London Olympics will not big as Asian Olympics. So hope we just wind off (inaudible) report especially from – its micro blog reporting and also video reporting.
Operator: Your next question now comes from Jenny Wu of Citigroup. Please ask your question.
Jenny Wu – Citigroup: Hi, thank you for taking my question. My first question is, hi, Carol, would you please share us some color about your mobile internet strategy? Thank you.
Carol Yu: Mobile Internet?
Charles Zhang: I think mobile Internet now is actually Internet itself. So it is basically merged to the same Internet platform where you access the Internet through different devices. So, overall products are you know have its launching to develop its mobile application may have made had like in my place, iPhones, mobile phone and all others. I think maybe enabled people to actually to access Internet to generate contents and to take photos and filming videos, anytime, anywhere they want. So we are working our client software to apply to people to pick picture. Recently they actually launched a product that enabled iPhone to take pictures and to upload any kind of our photos. So definitely our platform enabled to push our client software meaning that the news applications of picture taken, or photographing or other twitter software depend on a universal coverage of our fundamental software which we would believe will be our self opinion because if Chinese kind of input, it’s very, very critical to those mobile device application.
Operator: Your second question comes from Gillian Chung of Morgan Stanley. Please ask your question.
Gillian Chung – Morgan Stanley: Good evening, thank you for taking my question. I wonder if you can provide more color regarding this partnership with MSN, how well the partnership have you grow you video business in terms of traffic and monetization, where Michael’s comment on MSN failure on that video as inventory?
Carol Yu: Well I got it. We will work this MSN and have a MSN.tv.sohu.com channel so it was part of our domain names they all traffic were included under Sohu.com and Sohu video, the deal that we have with MSN is that we will also operate the channel whereby we would share some advertising inventory with them. So that will bring that traffic, with these high net income or the high-caliber millions of MSN users across China.
Charles Zhang: It’s actually a similar, one of our efforts is really to develop a video viewership outside the Sohu video website so there may the broadcasting trend to appear in many platforms, so this is also one of our efforts.
Operator: Your next question comes from Catherine Leung of Goldman Sachs. Please announce your questions.
Catherine Leung – Goldman Sachs: Hi, I’ve two questions. My first one is regarding your video business, given your video properties are now ranked number two, do you believe that you’re sufficiently monetizing the traffic?
Carol Yu: What’s your question again Catherine?
Catherine Leung – Goldman Sachs: Well, so basically your video property is being ranked number two, should we think about the scale of your video advertising revenues as approximating what the previous number two player has been generating? In other words are you sufficiently monetizing the traffic that go out?
Carol Yu: There are many efforts on that. I think last year we majorly focused on the kind of sponsorship video revenue model. That is when we’ll use basically our MSN and media content, our TV, movie broadcasting channel and the company outlined marketing events with half the prices. And this really helped to increase the ROI from the advertisers investment given the last two years our visitors – number of our unique visitors is not so high. Since this year because of the highly growth, the rapid growth of similar videos UVs and VVs we started to feel CPM model this year. And so we have opened up more CPM inventory for advertisers and I think this will help to increase our future revenue growth of video.
Charles Zhang: Let me just comment (inaudible) people are concerned about high cost, content cost and of video business, and I think – let me comment that, in the future there will be two trends that enable the supplement to turn profitable. While these is a more targeted advertising, tradition by targeting advertising so that it actually bring the advertiser – to bring the targets, advertising for the users which we know very well. This is one technology platform you can say about so that advertising, the capacity of advertising will be deep. Second trend is really that the subscription, especially for movies and for some of the really high quality content, where – actually highly desired content and also heavy I mean cost per minute of the content are very high. So, that this means or the industry make see a disruption or transactional subscription based model. So, right now the video players are all fighting for the market share for traffic and then one we have the huge traffic and then some of the content turned into subscription and then will I think the improved quickly improve the business model of the various elements in China.
Operator: Your next question now comes from Gary Ngan from UBS. Please ask your question.
Gary Ngan – UBS: Good evening everyone. Thanks for taking my question. My first question is can you comment a little bit about your unit monetization of Sogou business. So for example like on and per advertiser ARPU basis how do you compare with let’s say Qian Duoduo or on the other hand on a (inaudible) per page, how do you compare with Duoduo. So just want to get a sense of what’s your unit monetization with this to your competition?
Charles Zhang: (Inaudible).
Carol Yu: We’ll ask Erick to give that number.
Charles Zhang: I think left corner, we see about 35 gross in total revenue for search of Sogou and of that about 18% comes from the increase of the number of advertisers. So the rest of the growth should be coming from the ARPU growth. About 50-50 half coming from the advertiser number growth and half coming from the up growth.
Carol Yu: As far as ARPU is concerned, we’re probably trailing around 30% to 40% that of by due. Hello Gary.
Operator: We now have your next question from Wendy Huang of RBS. Please ask your question.
Wendy Huang – RBS: Hi, thanks for taking my question. I have three questions; first, can you tell us what’s the percentage of your revenue came from the e-commerce including portal as in (inaudible)?
Carol Yu: From the portal side, it’s below 10%. For the research side, we do really do this analysis, but I don’t think it’s a very high percentage as well.
Wendy Huang – RBS: Okay.
Belinda Wang: You can simply show up on my top five lists.
Wendy Huang – RBS: Sure. Okay, secondly, I noticed that this quarter is actually the first time that the gross margin of this such as reached the level that of brand advertising. So when can we expect the net margin of the such as to reach a similar level as brand advertising as well?
Carol Yu: Been a little tricky question. It’s always on a non-GAAP basis, Sohu breakeven this quarter, but we do not expect a – that, we will rush to profitability let’s put it in this way in the next six to 12 months. We’ll continue to invest and continue to grow market share. As far as investment is concerned, it’s mostly on our innovative products R&D and alike.
Operator: We now have your next question from Mu Zhi Li from Mizuho. Please ask your question.
Mu Zhi Li – Mizuho: Thank you for taking my questions. I would like to ask you about the online videos, you have two video websites the tv.sohu and video.sohu, can you tell me the traffic flow between the two websites, how much percentage that makeup on each? Thank you very much.
Carol Yu: Actually as far as – there is a couple of reasons, we have gv.sohu.com and v.o.com our main traffic are and main – our central site is tv.sohu.com, our v.ho.com, it’s more a – Sohu part produced celebrity interviews and some independent content, it’s basically a subsidiary, it’s a sub website.
Mu Zhi Li – Mizuho: Thank you. And can you also please explain how come the – from the third-party research like find out the time spent on the Sohu video is smaller, the time spent is shorter than the other peers any reason behind it? Thank you.
Charles Zhang: (Foreign Language) what is the count score?
Carol Yu: Time spent?
Mu Zhi Li – Mizuho: Yes. Actually the count score.
Charles Zhang: Yeah I think we are focusing on – I think the most important two parameters are video views and also the using visitor’s coverage. These are our key parameters combine a little bit of – video sites. We are – our video – I think, so we’re not looking at the ranking of those time stands, but it’s also growing quarter-over-quarter very nicely, especially – with our key drama TV series.
Operator: We now have your next question from Dick Wei of JP Morgan. Please ask your question.
Dick Wei – JP Morgan: Hi, these are few of my questions. First question is vendor on the video cost front. How much did you spend on the last round of content acquisition over a past couple of months and as so – as what is the budget or what kind of considerations you’re thinking for next year content as well. Thanks.
Charles Zhang: Dick you are asking about the actual cost or you’re talking about.. what?
Dick Wei – JP Morgan: Yeah, I guess for the actual cash outflow, yeah for the last couple of months or for this year as what kind of growth for this year or what is a amount for the share as well?
Carol Yu: We already – we are buying over the past few months. We’re already buying content from next year. So, you want to know what’s the cost for next year, it’s probably – well this – our cost is about – at least 15% to 20% cheaper than our competitors.
Dick Wei – JP Morgan: All right. Maybe if I can ask about, what is the cash outflow this year, say is it US$15 million and the end of next year…
Belinda Wang: Can I tell you about the total amount?
Dick Wei – JP Morgan: Right, correct.
Belinda Wang: We’re looking at – to spend between US$50 million to US$80 million in Asia in terms of content acquisition for the pipeline of next year, but some of the cash has already been paid and some are still outstanding and this is the total budget that we’re looking at.
Operator: There are no further questions at this time. I’ll now like to hand the conference back to today’s presenters, please continue.
Jenny Wu: Once again, I would like to thank all of you for joining us on today’s call. If you have any follow-up questions, please do not hesitate to contact us. Thank you.
Operator: Ladies and gentlemen, that does conclude our conference for today. Thank you for your participation. You may all disconnect.